Operator: Good morning, and welcome to Genie Energy's First Quarter 2017 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation by Genie Energy's management, there will be an opportunity to ask questions. [Operator Instructions] In its presentation, Genie Energy's management team will discuss financial and operational results for the three month period ended March 31, 2016. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation, either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. During their remarks, management may make reference to adjusted EBITDA, which is a non-GAAP measure. Generally, a non-GAAP financial measure is a numerical measure of a company's performance, financial position or cash flows that either excludes or includes amounts that are not normally excluded or included in the most directly comparable measure calculated and presented in accordance with GAAP. Management believes that Genie Energy's adjusted EBITDA provides useful information to both management and investors by excluding certain expenses that may not be indicative of Genie Energy's or the relevant segment's core operating results. Adjusted EBITDA should be considered in addition to, not as a substitute for, or superior to gross profit, income or loss from operations, cash flow from operating activities, net income or loss, basic and diluted earnings or loss per share or other measures of liquidity and financial performance prepared in accordance with GAAP. The Genie Energy earnings release including a reconciliation of adjusted EBITDA to the net income is available on the Investor Relations page of the Genie Corporation website, www.genie.com. The earnings release has also been filed on the Form 8-K with the SEC. Please note this event is being recorded. I will now turn the conference over Mr. Michael Stein, Genie's Energy's Chief Operating Officer and the CEO of Genie Retail Energy. Please go ahead, Mr. Stein.
Michael Stein: Thank you, operator. Welcome to Genie Energy's first quarter 2017 earnings call. This morning we will review our operational and financial results for the first three months ended March 31, 2017. I will lead off with an update on operations progress at Genie Retail Energy, then Geoff Rochwarger, Genie Energy's Vice Chairman and CEO of Genie E&P review Afek’s operational in Israel. After Goeff remarks, Avi Goldin, our Chief Financial Officer, will discuss the quarter's financial results. At the conclusion of Avi's remarks, we will take your questions. Turning now to Genie Retail energy. Genie Retail Energy produced another solid quarter, operationally we returns to net RCE and meter growth and reduced churn compared to the year ago quarter. Our top line also benefited from a slight increase in consumption per meter and higher commodity cost for both electricity and natural gas compared to the year ago quarter. Following the acquisition of Town Square Energy November during the first quarter we intensely focused on integrating PSC’s new utility territories into our existing customer acquisition efforts. That process is now well underway and in the second quarter we are in the strong position to continue to grow organically even as we evaluate additional growth opportunities. During the first quarter, we added over 4000 RCEs and 6000 meters net of churn. At March 31 our customer base was comprised of 220,000 electric RCE and 67,000 natural gas RCEs. The corresponding meter totals were 307,000 and a 111,000 respectively. Including Town Square customer base we have now increased our RCE base by more than 9% over the past two quarters. This quarter, we also continued to diversify our meter base geographically and to shift the composition of our meter base toward electricity, which historically has generated stronger margins on average than natural gas. Looking ahead we are on-track to continue our net RCE and meter growth in the current quarter. The meter acquisition programs in the new TSC territories primarily door-to-door marketing, we are not fully deployed in operational until February and therefore the first quarter growth from these territories reflect our efforts over just two months. For the second quarter and subsequent period, we expect to benefit from those efforts during the entire quarter. Average monthly customer churn in the first quarter was 6.1% that represents a 30 basis points decrease compared to the prior quarter and a 20 basis points increase year-over-year. A sequential reduction in churn is partially driven by the Town Square Energy meters most of which are fixed rate meters under contract with significantly lower churn rate than our legacy meter base. Additionally, we have made a slight adjustment in our churn calculation methodology to better capture the true rate of customer attrition, which is reflected in both the current period and prior period figures. On the regulatory front the situation in New York remains unchanged; there have been no significant developments since our last update. As we have discussed before you we have taken a proactive approach to regulatory developments in New York. Over the past year we are continued to diversify our customer base geographically, while taking additional steps to mitigate impact that any final regulatory initiatives may have on our operations in New York State. To wrap up the first quarter results continued our momentum as we work to take full advantage with the opportunities presented to our acquisition of Town Square Energy while we benefited from a relatively favorable winter pricing environment. Looking ahead we are focused on continuing to grow our business organically while evaluating promising opportunities for additional expansion both in new domestic market and overseas. Now here is Geoff Rochwarger to discuss Afek’s operational results.
Geoff Rochwarger: Thank you Michael, all though fewer than 60 days have passed since our last update, Afek our oil and gas exploration subsidiary operating in Northern Israel has made significant progress. For those who are new to the story, I will begin with a brief back ground that will help put the recent developments into context. Over the past 20 months, Afek has completed five explorers through wells and well flow test at two of those completed wells in the southern and eastern portion of our license area, below the Sheik Ali Fault. Results from these tests confirm the presents of significant qualities of immature organics, primarily heavy oil and bitumen at depths of between 1300meters. Although abundant given current and forecasted in market conditions another constraints the resource in this zone is not commercially viable at this time. Subsequent analysis suggest that the same resource likely extends north of the Sheik Ali Fault though with an impotent different. North of the Fort, data suggest that the resource lies approximately 700 meters further below the surface than in the South. Under the right conditions, the additional depths could allowed the amateur resource we identified at the relatively shallow depths in the south to be converted to live crude in the north. At the time of our last quarterly update, we were preparing to drill our next well NES-10 in the northern portion of our license area beyond the flow through these we have identified. Our objectives as stated then and are reiterated now are to confirm that the potential source rock in the north contains levels of organics comparable to the south and to determine whether the conditions are necessary to have converted those organics to live crude oil present. We initiated drilling on NES-10 in early April. Our engineering plant close for drilling the well to a total depth of approximately 1900 meters, this is more than 500 meters deeper than the average total depth of our first five wells. Actually drilling results has observed through the cuttings and other analysis that we will collect and analyze as we pass through the target zone will establish the final drilling depth. As we move into the deeper portion of this well, we will begin utilizing a managed pressure drilling hierarchy or MPD to enable our team to evaluate drilling conditions in almost real-time allowing us to modify drilling operations in response to changes in the sub-surface. Additionally, using the MPD system enables us to safely collect and evaluate substances present in the bore hole without the need to shutdown the drilling operation or replace certain equipment components. In parallel to current drilling operations, we are continuing to upgrade the rig to enable more efficient operations at the depths we will need to achieve in NES-10. The concurrence of these factors will impact NES-10's drilling schedule. However, I expect completion of drilling before our next quarterly update in early August. Due to our focus on NES-10 operations are effect, we will initiate business development activities at our new operating subsidiary at [indiscernible] drilling only once we approached the completion of this well. Nevertheless we have completed purchase of the rig and we continue to receive inquiries and expressions of interest from potential customers. I look forward to moving [indiscernible] into high gear once drilling in Ness-10 is completed. Now I will turn the call over to Genie Energy's Chief Financial Officer Avi Goldin for a discussion of the first quarter financial results.
Avi Goldin: Thank you Jeff, and thanks to everyone listening and for joining us this morning. My remarks cover our financial results for the first quarter of 2017, the three months period ended March 31. Expect or indicated otherwise, all comparisons in my remarks are the results for the corresponding period in 2016. Consistent with my approach in prior quarters, I will focus on the year-over-year comparisons rather than sequential comparisons to remove from considerations to seasonal fluctuations that are characteristic of our retail energy business. Overall, this was another solid quarter for the Company. We have returned organic meter growth for Genie Retail, while delivering strong EBITDA performance and bottom line results. In Israel we have ramped up preparations for the drilling of NES-10 which was spud after the conclusion of the quarter. As in prior quarters, Genie Retail Energy generated all of Genie Energy's revenue, direct cost of revenues and gross profit. Genie Retail revenue in the first quarter increased to $69.4 million from $58.9 million in the year ago quarter due primarily to the growth in the customer base from the acquisition of Time Square Energy. Electric sales of $52.5 million increased by $7.3 million from the year ago quarter as we sold 22% more kilowatt hours Natural gas sales of $16.5 million increased $3.1 million year-over-year from $13.4 million last year. Genie retail energies gross margin percentage decreased to 34% reflecting a more competitive operating environment and the increase in the percentage of fixed rate meter with the November acquisition of Town Square Energy. On the electric side, gross margin decrease 36.1%, during the quarter we experienced lower average sales prices and higher cost per kilowatt hour sold. Despite the reduction in gross margin, gross profit on electricity sales decreased only $1.9 million to $18.1 million as the decrease in gross margin was offset by volumetric increases driven by the increase in electric meter sold that Michael referenced in his remarks and by a slight increase in electricity consumption per meter. Gross margin on natural gas sales increased to 26.5% despite an increase in the cost procurement of natural gas. For the quarter gross profit on natural gas sales increased by $1.3 million to $4.4 million. Consolidated SG&A expense increased $2.8 million to $18.8 million in the first quarter primarily due to increases in customer acquisition cost as we ramped up our customer acquisition program in the Town Square Energy utility territories. Research and development expense was nil compared to $127,000 in the year ago quarter as a result of determination of operations at Genie oil and gas projects. Exploration expense incurred entirely by Afek's operations in Northern Israel was $851,000 compared to $1.7 million in a year ago quarter. Afek's capitalized $1.1 million in exploration cost compared to $8 million in the year ago quarter related to the preparations for the drilling of Ness-10. Consolidated income from operations decreased by $2 million to $4 million, while adjusted EBITDA decreased $1.6 million to $5.7 million in the first quarter reflecting the reduction in gross profit on sales of electricity and the increase in SG&A expense. At Genie retail adjusted EBITDA decreased $2.6 million to $8.3 million. Net income attributable to Genie common stock holders after non-controlling interest in proffered stock dividends for the first quarter, its $3.1 million or $0.13 per basic and diluted share compared $5.3 million or $0.23 per basic share and $0.22 per diluted share in the year ago quarter. Based on our financial and operating results this quarter Genie's Board of Directors again declared a quarterly dividend on our common stock of $0.75 a share. Turning now to our balance sheet, we remain in a strong position with $47.9 million of cash and cash equivalents in redistricted cash and $57.1 million in working capital. In April 2017 we closed on a new $20 million revolving credit facility, which will allow us to further optimize the capital structure as we look to grow the Company. That concludes my remarks on the first quarter financial results. Now Michael, Geoff and I would be glad to take your questions on the business in general for the first quarter's results specifically. I will now turn the call back to the operator for Q&A.
Operator: We will now begin the Question-and-Answer Session. [Operator Instructions] Our first question comes from Aaron Shafter of Great Mountain Capital Management. Please go ahead.
Aaron Shafter: Congrats on your question. First, a question on Genie Retail Energy and then questions related to Afek. At the end of the month, there is going to be some type of decision on the traditional view in New York State regulations. Is there anything that you can add on that?
Avi Goldin: Hi. This is Avi. So there is nothing specific that we are able to add at this point. We can say that we are complying with the request information and we had been in close communication with the regulatory authorities and we are easily anticipating what we hope to be a resolution to this effort.
Aaron Shafter: Okay, fair enough. Secondly, related to Afek. In 10-K from a month or so ago. You noted that [indiscernible] what 1% of Afek, $1 million you exercised that that right. I’m wondering what now in exact percentage of Afek that Genie owns and what the lowest of that percentage can go, if there is other sorts of rights exercised?
Avi Goldin: So I don’t have the exact percentage in front of me. I can tell you that its somewhere in the mid-80s. And that reflects all sort of on a diluted basis. So there is no option or anything like that, that’s out there. And if you want to more specific number, we could speak offline.
Aaron Shafter: Got it, that’s good enough. Your currently lease, which has been extended a couple of times close to April of 2018. Your new schedule of drilling as appose to wells that you drilled in the South takes longer. It’s obviously, you are not going to be able to get the rest of the five wells drilled. I’m wondering how many wells you see yourself drilling and if you would be thinking of extension on the lease or not?
Geoffrey Rochwarger: Okay. Hi, this is Geoff. So just to answer a couple of different parts of your question. So number one is, we did announce kind of last quarter that our permit was reissued for another year, which at that expiration leaves us two additional years under our license to continue our exploration program. We did initially receive permits to drill up to 10 wells under the exploration license that we were awarded. We drilled five wells, which we feel helped us analyze and really cover the Southern portion of our acreage. However, to be a little bit more exact or more precise. When we refer to the Southern portion of our acreage, it covers approximately 65% to 70% of the total acreage that we have. So the well that we are drilling right now, which is north of the Sheikh-Ali Fault and as you noted. And as I have mentioned in the past quarter and also on today’s call is significantly deeper as the seismic shows for us. This well is extremely significant as goal is very, very focused in that, we want to be able to A, confirm or not that the same level of organics that we found in the South, our present north of Fault and number two is to confirm the level of maturation of those organics. In the South, we found maturation peaking at approximately 30% which started a conversion in maturation process that halted it at that point. We are hoping that the additional depths will provide more than sufficient heating and pressure of that will allow for additional maturation. So for now, right now when we budgeting for this one well to drill and the results of what we see with that well will determine how and if we will continue the exploration process.
Aaron Shafter: Okay. Fair enough. You covered all the rest of my questions.
Geoffrey Rochwarger: Great.
Operator: [Operator Instructions] This concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect your lines.